Operator: Good day, and welcome, ladies and gentlemen. Thank you for standing by. Welcome to the Texas Roadhouse, Inc. Second Quarter 2012 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Price Cooper, Chief Financial Officer. Please go ahead, sir. 
G. Cooper: Thank you, Cameron, and good evening, everyone. By now everyone should have access to our earnings announcement for the second quarter ended June 26, 2012. It may also be found on our website at texasroadhouse.com in the Investors section. 
 Before we begin our formal remarks, we need to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and therefore, undue reliance should not be placed upon them. We refer all of you to our earnings release and our recent filings with the SEC for a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures. Reconciliations of the non-GAAP measures to the GAAP information can be found under the Investors section of our website. 
 On the call with me today is Kent Taylor, our Founder and CEO; and Scott Colosi, our President. Kent is going to start the call off, after which I'll provide a financial update, then Scott will provide some final comments. Afterwards, we'll all be available to answer any questions. 
 Now I'd like to turn the call over to our Chief Executive Officer, Kent Taylor. 
Wayne Taylor: Thanks, Price. Hello, everyone. We are pleased with this quarter's revenue growth and restaurant margin performance, which led to a 28% increase in diluted earnings per share. From a top line perspective, our results were good. We generated solid and consistent sales growth throughout the quarter. At the halfway point of 2012, both comparable sales and traffic growth are positive. At this way [ph], our new restaurants continue to open very well. 
 We continue to see good flow-through from our February menu changes and pricing actions. Price will talk about some of these details, but overall our menu mix is running basically neutral. As of now we do not have any price increases planned for the remainder of the year. However, we have started testing what amounts to an average increase of just under 2% in 16 restaurants. In the back half of the year, we will also be working toward our 2013 inflation expectations, which will help us determine the amount of and timing of any pricing actions for next year. 
 In terms of costs, restaurant margins came in stronger than we anticipated in the second quarter. Also, our operations continue to do a -- our operators continue to do a great job controlling costs in a year of high single digits through [ph] cost inflation. Our second quarter results also benefited from lower costs relating to our annual Managing Partner Conference. 
 We remain excited about our business momentum. We recently met with all of our multiunit operators and shared best practices in many aspects of the business including operations, HR, marketing and finance. We also spent time discussing our future growth plans and how to grow the right way. As always, we are very impressed and energized by our team, a solid group of eagles just like Mitch Hauber, our Managing Partner of the Year from Wichita, Kansas, who happens to be sitting with us in the room. 
 Our success really boils down to hiring great people, finding good locations and staying focused on Legendary Food and Legendary Service. It's that simple, and keeping it simple has served us well through the years. Price will now walk you through our financial update. 
G. Cooper: Thanks, Kent. I'm going to touch on a couple of highlights for the quarter and then discuss our financial outlook. For the second quarter of 2012, revenues increased 14.6% as a result of a 9.8% increase in store weeks and 4.1% increase in average unit volumes. Net income was $20.3 million or $0.28 per diluted share, which represented a 28% increase from last year and was a few cents better than we anticipated due to better restaurant margin performance and lower G&A. 
 From a top line perspective, our average unit volume growth of 4.1% was slightly less than our comparable restaurant sales growth of 4.5%. While our new restaurants continue to open strong as they move through the honeymoon period and the sales normalize, their base is slightly less than existing restaurants. 
 However, we continue to see solid comp sales growth. Comparable sales were up 4.5% for the quarter, with our average check increasing 4% and traffic up 0.5 points. By month, comparable sales increased 4.8%, 4.7% and 4.2% for April, May and June, respectively. On the margin side of things, restaurant margins profit dollars increased $10.2 million or 20.4% versus the prior year. Restaurant margins on a percentage basis increased 91 basis points for the quarter compared to the prior year. 
 While we continue to lose some leverage on cost of sales with food inflation of just under 7%, we were able to generate leverage in labor, rent and other occupancy -- other operating costs as a 4% increase in average check, combined with the 0.5% increase in traffic, offset inflationary pressures in these areas. Below the restaurant level line, G&A came in lower than anticipated as a result of the expenditures relating to our Managing Partner Conference, coming in $1.2 million lower than last year. 
 Moving to our balance sheet and cash flow. Our cash and debt levels at the end of the quarter were similar with the first quarter as we ended the quarter with $77 million in cash and $52 million in debt. Through the second quarter of the year, we had generated $17.7 million of free cash flow compared to $27.3 million last year. Our cash flow from operations has increased this year; so has our capital expenditures driven by more openings as well as more CapEx being spent on existing restaurants.
 During the second quarter, we paid out our second quarterly dividend of 2012, which if you recall our board increased to $0.09 per share this year from $0.08 per share in 2011. We did not repurchase any shares of stock during the quarter, so we had $100 million still available under our board authorization. 
 Looking at the remainder of 2012. We moderated our comparable sales assumption for the year to be up 4% to 4.5%, which is at the lower end of our previous range of up 4% to 5%. We also slightly moderated our food inflation assumption to be at the low end of our previous range as we are now estimating -- now anticipating approximately 7% food inflation for the year versus 7% to 7.5%. These 2 items, combined with better performance in the second quarter, led us to increase our estimate for GAAP diluted earnings per share to $0.94 to $0.96 from our previous range of $0.91 to $0.93. 
 With regard to comparable sales, comp sales for the first 4 weeks of the third quarter are up 5.5%. This does however include a benefit from the timing of the July 4th holiday that fell on a Wednesday this year as compared to a Monday of the prior year. We estimate this positively impacted July's 5.5% comp by 1.5% to 2%. Our current comparable sales assumption includes being flat to up about 1% in traffic for the back half of the year. 
 We expect our year-over-year average check growth to be more like 3% in the third quarter and 2.5% in the fourth quarter versus approximately 4% in the first half of the year as we have overlapped more of last year's pricing actions. This will make it more difficult to gain margin leverage. In addition to this, there are a few credits in labor we will be overlapping in both the third and fourth quarters of about $6,000 -- $600,000 per quarter. While it could be tough to leverage margins in the second half of the year, for the full year, it is possible that overall restaurant margins could be flat compared to the prior year. 
 Final item I will mention for 2012 is we did increase our estimate for capital expenditures to approximately $90 million for the year from our previous guidance of $80 million to $85 million. We have seen an increase in capital expenditures associated with remodels, room additions and general maintenance on existing restaurants as we have encouraged our operators to spend in these areas. We believe that maintaining our assets is an important part of staying relevant and are pleased to see the slight increase. 
 I'll end the financial summary with some thoughts on 2013. First, it is too early to provide a realistic estimate as to what next year's food cost inflation might be. We have started the process of meeting with our suppliers and while we do expect to experience food inflation next year, it is just too early to provide an estimate. As we get more clarity, we will update you on our next call. 
 We are testing some menu price increases right now and will continue doing so, and as we've done in the past, we will continue balancing short-term pressures with our long-term positioning. And lastly, 2013 will be a 53-week year for us. As such, the fourth quarter of 2013 will have 14 weeks versus our normal 13. We anticipate that the benefit of a couple percentage points from the extra week will be largely offset by increased spending on our 2013 Managing Partner Conference, which is being held in Hawaii in March, our 20th anniversary. 
 And with that, I will turn the call over to our President, Scott Colosi. 
Scott Colosi: Thank you, Price, and good evening, everybody. We continue to be pleased with the direction of our business and our opportunities for future growth. As Kent mentioned earlier, our new restaurants continue to perform well on the top line. As of today, we are over halfway through our development plan for 2012  with approximately 8 restaurants remaining to be opened in the year. 
 Furthermore, our plan for 2013 is right on track with at least 25 restaurant openings in the pipeline. It's also important to note that our development costs remain in line, thereby keeping our internal rates of return into the mid- to high-teens range. It's something we are very pleased with. 
 In addition to our domestic openings this year, we continue to make headway on the international front. After opening our first international franchise restaurant about 1 year ago, we expect our franchise partner in the Middle East to open a few more this year with more planned in 2013. On top of what is going on in the Middle East, we are working with a potential partner in Canada and may open our first Canadian joint venture location sometime in 2013. 
 On the financial side of things, our balance sheet remains very strong, and we anticipate we will continue to generate significant free cash flow. In addition to evaluating new development opportunities, we plan to continue to return excess cash flow to our shareholders through consistent dividends and opportunistic share repurchases. In June, we paid our sixth quarterly dividend, representing $0.09 a share, which is a 12.5% increase from where we started a year ago and represents about a 2% yield today. Our board will continue to review our dividend payout policy in conjunction with the growth in our cash flow. 
 Overall, we definitely feel very good about the state of our business. We're maintaining good discipline around our growth as it relates to identifying sites and hiring great people. And we're growing at a rate that's right for us. We will continue balancing our growth and staying focused on our people, always keeping in mind that we're a people business that serves steaks. 
 We'll also have short-term pressures like we're experiencing now with commodities, just as we did a few years ago with all the minimum wage rate increases. And just like we did back then and are doing so this year, we will manage through it and we will balance short-term pressures with the long-term brand positioning. We remain committed to this balanced approach and believe it's important to our continued success and our ability to create value for our employees, our guests and our shareholders. 
 That concludes our prepared remarks. So Cameron, please open the line up for questions. 
Operator: [Operator Instructions] We'll take our first question from John Glass of Morgan Stanley. 
John Glass: Just a couple of questions, maybe just first on the outlook on the consumer environment. I presume you're more cautious -- you were slightly more cautious view on sales as related to the kind of the traffic trend you experienced this quarter. Can you maybe just elaborate on that? Did you see it happen throughout the quarter, was it a little more recently as we've seen? I know you reported the full comps, but maybe if you could elaborate on that. And also, what is explicitly -- if you said it, I missed it, I apologize. What is the explicit pricing factor? It was in the mix or the jack this quarter? 
G. Cooper: Okay, John, it's Price. As far as traffic for the quarter, it was fairly consistent, although it did get a little lighter throughout the quarter. We were up -- it was 8/10 in April in terms of traffic, up about 0.5 points in May and then up a couple of tenths in June. So they get a little softer but pretty consistent throughout the quarter. And then the second question with regard to check for the quarter, it was up -- check was up 4%. Overall, our average price increase was about 4.1%. So we did have a little bit of negative mix, about 1/10 of negative mix. 
John Glass: And I know you don't want to talk about or you can't talk about food inflation in '13 versus '12. But I wonder if you could characterize the conversations you're having with vendors now. Are they as perplexed as maybe the rest of us are about what -- how this inflation is going to impact them? Would it be fair to say directionally at least do you think inflation will be greater than '12 or less? Or I mean, is there anything you can just directionally you can point us to on food inflation? 
G. Cooper: Yes, in general, we do expect it to be -- we do expect to have inflation next year. Really too early to know if it's going to be more or less than it is this year. But the general consensus is, and we believe it too, that you're going to have some inflation on the protein side. There's a lot of factors that come into play in addition to decreased herd size as you get a lot of other factors such as what's going on with retail demand, what will the corn yield be for this year, what's going on with exports, the value of the dollar. So there's a lot of unknowns in general, but I think it's safe to say that we do expect there will be some inflation next year. And like we did last year and like we're doing this year, I think we'll continue -- we feel confident we'll continue to balance the equation. 
Operator: We'll take our next question from Jason West with Deutsche Bank. 
Jason West: Could you guys give us what the pricing number would have been in the July comp? And sort of when that 1%, I guess, rolls off exactly? 
G. Cooper: The 1% rolls off -- just over 1% rolls out off in July. Let me see if I can get you -- Jason, for July, was up 3.5%. 
Jason West: Okay. And that was pretty much flat mix in there? 
G. Cooper: Yes, close to flat mix. So we had started -- last year, our pricing increase rolled out throughout the month of July. So that by the end of July, we'll have about a little over 3% in our menu. 
Jason West: Got it. And then just on the cost of goods sold line in the quarter, it did come in a bit better than us. Not sure if that line was better than your internal expectations. But if you could talk about was there anything from like a timing standpoint, or you were able to manage waste or other areas to kind of offset some of the inflation, because that was a bit better than we would have thought on a 7% inflation number. 
G. Cooper: Yes, another good question. They came in actually a little better than we expected as well. Part of that is, as Kent mentioned, our operators are doing a very good job at managing costs in a high-inflation environment. And part of that is a little bit of menu mix within the entrée category. We're seeing a little bit of a skewed towards higher gross margins percent items. That's helping on the food cost percent as well. So it's about half. [indiscernible] 
Jason West: Some of that's sustainable, but then you lose some pricing in the back half, and sounds like the inflation will be similar in the back half as it was in the first half? 
G. Cooper: That's true. 
Operator: We'll take our next question from Brian Bittner with Oppenheimer & Co. 
Brian Bittner: So your earnings guidance kind of assumes a much different trajectory in the back half of the year versus the first half, and I'm assuming the majority of that is the less leverage on the restaurant margin that you kind of alluded to previously, I guess, as pricing rolls off here in the second half. But is there anything else? Can you just kind of go into the dynamics of the second half guidance a little bit further? Is it just pricing rolling off? Is that really the only thing that's really going to be pressuring the margin versus the kind of expansion you saw in the first half? Or what's the other dynamics at work? 
G. Cooper: So Brian, it is largely in regard to -- it's the pricing and of course the traffic because the back half of the year assumes a traffic range of flat to up 1%, which if you're on the lower side of that is lower than we've done in the first half of the year. We will have a couple of -- within the labor line, we've got a couple of credits that we're overlapping from last year. But the biggest impact is in terms of just having less checks in the back half of the year and the pressure that, that puts on restaurant margins. 
Brian Bittner: Now when will the decision be made whether or not to take this incremental pricing that you're testing now? Is that something that you're testing for 2015? Is that something you're testing to implement rather quickly to offset some of the price and that rolls off in the second half? 
Scott Colosi: Brian, this is Scott. This is something -- it's all about 2013 at this point. So if we were to do anything, it would be very late this year or into next year. So we're totally moving on to 2013 at this point from a menu pricing perspective. 
Brian Bittner: Got it. So just to be 100% clear, there's not optionality to take a little bit more price in the second half? 
Scott Colosi: No. If we do anything, it will be late in the year, totally addressing 2013 inflation. 
Operator: We'll go next to Jeff Omohundro with Davenport & Company. 
Jeffrey Omohundro: Circling back to John's question perhaps in a little different way. When you think about herd size have for retention, some of the longer term dynamics in the East complex, maybe share with us some of your thoughts about how the company approaches it beyond pricing. And certainly, as a value leader, I believe anyways that you have more pricing power. But are there thoughts -- do you explore areas in terms of the protein composition in the meat, in the mix that you're running or are there other avenues? 
Scott Colosi: Jeff, this is Scott. We're very protective of what we've got on the plate. We're going to continue to be very protective of that. And if anything, we challenge ourselves internally on increasing the quality that's on the plate versus going in any other direction. So we're fully prepared to deal with inflation as it comes. Certainly, we look at other lines on our P&L. We look at other things that we buy, they're nonfood related and can we buy those more effectively. We challenge ourselves on how effectively we schedule and utilize our labor. We're doing a lot, like a lot of companies do, on buying energy in our system. So -- but we're not going to touch what's on the plate. We're going to continue to put pressure on our competition and give our managing partners a great value to provide our guests longer term. That's what's worked for us forever, and we're sticking with that formula. 
Jeffrey Omohundro: And Price, just a follow-up. On the capital spending and the little higher remodeling costs, as we model out CapEx into 2013, is there any reason for the stepped-up rate not to continue? 
G. Cooper: No. No reason. No. I think it'll continue to be in probably that $20 million to $25 million a year range for the short term on the maintenance CapEx side. 
Operator: We'll go next to Will Slabaugh with Stephens. 
Will Slabaugh: Just a couple of quick ones. Wonder if you could give an update on menu mix trend. I know last quarter you talked about even losing about 0.5% or so to alcohol mix, maybe making up a little bit of that through the porterhouse, the new menu flat [ph]. Anything to add there? Are there things you've been looking at doing differently to impact that number? I know you mentioned it was roughly flat this quarter, so curious on the benefits there. 
G. Cooper: No, Will. It's still what we're seeing is you're exactly right, seeing a little bit lower alcohol incidences, which is something we've seen for 5 or 6 years basically, been a little bit of a headwind for us. And we have continued to make it up in really 3 areas. One is we still getting the benefit year-over-year from rolling out our Bone-in Ribeye throughout 2011. Secondly, we added the porterhouse -- 23-ounce porterhouse to our menu with our rollout in February. So we saw a full quarter's benefit of that. And then as you mentioned, the pictures we added to the menu with our February rollout also are benefiting us a little bit. So the big difference is in the first quarter, we were down. I think it's about 3/10 in menu mix versus only being down 1/10 this quarter, and the biggest difference is we had a full quarter's worth of both the porterhouse and those pictures on our menu. 
Will Slabaugh: Got you. And just if I could hit back on guidance, digging it just a little bit further there. You mentioned pricing already. But on traffic, that's positive in the quarter which is impressive in this environment. But any thoughts around that trajectory, which did come down just a little bit from last quarter, and kind of how you're looking at the traffic driving environment for the back half of the year? 
G. Cooper: Yes, we basically -- so traffic is the biggest unknown in our business. So we basically said, hey, our guidance incorporates the back half of the year, traffic being flat to up 1%, which we think is reasonable when you look at the trend we've seen, what's happened in the first part of the year and as well as if you look at it on 2 or even a 3-year trend type basis. We think flat to 1% is a reasonable assumption for the back half of the year. 
Will Slabaugh: Yes, makes sense. And then lastly for me on cost and your guidance, even assuming little to no leverage, it's still difficult for me to get down to your guidance and given the flow-through you saw this quarter. So any points in particular on the cough lines [ph]that you would point us to and say we would definitely see limited leverage here, or anything that would get us down sort of in that guidance range on cost. 
G. Cooper: I don't think anything in particular. We do make sure our guidance is GAAP basis, so it does include the $5 million charge that we had in the first quarter that we recorded in G&A. And then the only unusual item, if you would, that comes to mind is within our labor category where we talked about we will be overlapping a couple of credits each quarter to a tune of about $600,000 per quarter. 
Operator: We'll go next to John Ivankoe with JPMorgan. 
John Ivankoe: I forgot what you call them, bump outs, I guess of the restaurants that you have, at least in my notes, we show that you're doing 25 to 30, if that's still right. And I was curious as to what the sales lift experience has been maybe in the 2011, 2011 class and what kind of an opportunity you may have to continue that in the system in the 2013? And I have a follow-up as well. 
G. Cooper: On the bump out, John, we're up to -- we've done just sort of 90 in total over the last 3 to 4 years. And actually, we may hit 30 or 35 in this calendar year is what it's looking like. In general, we've gone in to add those seats. You're adding anywhere from 26 to 35 additional seats within the restaurant. And we're seeing within those restaurants kind of a mid- to high single-digit comp lift out of that. From a financial perspective, it's a no-brainer as far as the return. What we really look for is from an operational perspective, are we changing the flow of the restaurant? In other words, do we have the kitchens operating at capacity, so that we can service all those guests and so that the ticket times really aren't expanding. So ultimately, I think part of your question is how many can we do? Don't know exactly right now. Probably we feel good about working towards at least half of our system and adding those extra seats, too. And beyond that, don't really know at this point because again, we're going to be very careful at what that does to the overall experience and what you're doing to those ticket times. 
Wayne Taylor: And those decisions are primarily operations-driven. We look at the operators that are excelling to make those decisions. 
John Ivankoe: Okay. Great. And another topic I just maybe haven't asked you in a while or haven't heard you give the answer in a while. I mean, what do you guys think about weekday lunch if anything? I mean, is it in any stores? I mean, is that -- is it an opportunity? Is it something as -- especially if [indiscernible] challenged, not for you necessarily, but an overall macro-challenged sales environment, cost environment, might that be an opportunity for you at least to think about it for the next couple of years as some percentage of your system? 
Wayne Taylor: I'll take that answer. The answer is a short no. 
John Ivankoe: Could I ask you to just expand on that? I mean just that -- I mean, if it does like, in terms of just categorically saying, it makes -- it doesn't really make sense in any location as to what the obstacles of that might be? 
Wayne Taylor: Sure. Sure. I'll answer that. We make our salads fresh right before we open, and we -- our food is really made right before we open the doors at 4:00. And the last thing I want to do is be like a lot of our competitors and have the food sitting there during the afternoon kind of -- not being as quality as it would be at night and so I'd like to not go down that road. And we would like our guests to eat at our competitors for lunch and then come to us for dinner. 
Operator: We'll go next to Jeff Farmer with Wells Fargo. 
Jeffrey Farmer: Just wanted to follow up on some of the earlier questions. So really, first up is on some of the pricing issues [ph]. It's almost 4% menu pricing during the first half of the year. Was that evenly spread throughout the menu? And then I guess straight from an answer, any lessons to be learned as it relates to potential pricing in 2013 from the things like elasticity across food, beverage, et cetera? 
Scott Colosi: Jeff, this is Scott. Yes, the most recent price increases we've taken have been much more spread across the menu than we had prior to that, and that's going to be a continued strategy for us going forward. That said, we're always going to be very protective of our value price points, those price points that are below that $9.99 threshold. We're going to be particularly protective of those price points and again, to maintain and even strengthen, if you will, our competitive positioning as we see some of our competitors move a bit beyond that $9.99 price threshold. 
Jeffrey Farmer: Okay. That's helpful. And then just, again, coming back to traffic, it looks like, according to my model, at least 8 quarters of at least 2% traffic growth and obviously, you finally cut -- finally slowed it down here in the second quarter. But do you attribute the slowdown there to your own price increases, some of the increased promotional activity that's going on out there, or even just sort of a broader industry deceleration? If you had to sort of earmark it. 
Scott Colosi: Jeff, this is Scott. We don't even really think about it that way. One quarter does not have us rethink anything that we're doing. We look at it very long term. Some quarters your traffic's up 2%, some it's flat, some it might be down 1%, some it's up 3%. I think it's -- we just know if we continue to execute our mission statement Legendary Food, Legendary Service at a very high level that we're going to get new people in the door, we're going to keep those folks, we're going to keep people coming back into our restaurants and we can't afford to mess around with the formula or deviate from the formula, and that's what's kind of kept us going through all these years. It's the reason why we believe our average unit volumes are approaching 4 million here. And we're going to continue to go down that road and not think too -- not try to overthink a quarter where our traffic maybe is a little bit less than what it was in the prior 8. 
Jeffrey Farmer: Okay. And then final question for me, I don't know if really there's an answer on this one. But in terms of the sales mix, you obviously have the Early Dine option out there. If things get a little bit more difficult for the consumer from an environment standpoint, do you tend to see that as a proxy for that, so that people sort of shift from sort of a typical dinner hour to that earlier Early Dine transaction for you, that daypart for you? Do you see that happen, a rotation to Early Dine? 
Scott Colosi: Jeff, this is Scott. No, we don't see that happening, and we don't expect it to happen. 
Operator: We'll go next to Jeffrey Bernstein with Barclays. 
Jeffrey Bernstein: Great. A couple of follow-ups. First on the pricing front, it sounds like there was no real push-back at least on the 4% you've been running most recently. I know you had mentioned testing a little bit less than 2% as you consider '13. Just wondering if you saw the inflation levels at the 7% into 2013, whether there is any issue with -- whether maintaining that 4% would be realistic, or there's something that tells you 4% was kind of a 1-year thing in '12 and it's not likely to sustain into '13 even if the inflation is up that level? 
Scott Colosi: Jeff, this is Scott. The 4% that we were in the first half of the year was definitely an anomaly for us, and it was really more around the timing of when we took pricing in 2011. And so we had some number of months where we happen to have some pricing overlap. Generally, we're more around the 2%-ish annual pricing historically. And so we would expect to see something like that in 2013. I would struggle to see us doing a whole lot more than that for competitive reasons. And we're just going to focus harder on the cost structure and the efficiency opportunities that we have, legitimate ones that we have in either the way we buy things or the way we run our restaurants. 
Jeffrey Bernstein: Got it. And just the protein basket, I should say, the overall commodity basket I think was up I think 7% for this year. Can you give any insight on what -- obviously the protein is the biggest driver of that, what level the proteins are roughly running for this year within that 7%? 
G. Cooper: Yes, Jeff, it's Price. Proteins for us, well, specifically if you're talking beef and pork, which are larger protein items, they're up double digits for 2012. 
Jeffrey Bernstein: Okay. [indiscernible]You haven't ever narrowed down that double digit in 10%, 15%, 20% anything like that. 
G. Cooper: No. 
Jeffrey Bernstein: Okay. And just lastly, you mentioned the competitive environment on a couple of occasions and managing that $9.99 price point and whatnot. Seems like there has been an uptick in steak promotions despite the beef inflation, which has been somewhat surprising. But can you give us kind of an update on the competitive environment? I know you're obviously focused on your own business. But are you surprised to see the increased competition around the steak category? Or are you seeing any impact to your business? 
Scott Colosi: I like -- this is Scott. I like seeing people talk about steak on TV. I think it gets people thinking about steak and all those people want to come to Texas Roadhouse. So I think that helps us in the long run. 
Jeffrey Bernstein: But are you -- do you think you are seeing that increased competitive environment around it? Or is it just kind of coming and going but not like there's a meaningful uptick in that? 
Scott Colosi: I'd say it's just coming and going. 
Operator: We'll go next to Conrad Lyon with B. Riley & Co. 
Conrad Lyon: Another question about just '13 and the cattle herd. It's not so much price inflation that I'm concerned about but quality of beef. You hear stories about just what ranchers are feeding their cattle. How do you think about that? Is that a concern? And might you have to pay up to get -- to maintain the quality that you're known for? 
G. Cooper: Conrad, it's Price. Part of that will be, hopefully, you've got to think about what will retail market bear I think is part of it. So direct answer to your question, don't really know. We did see something the other week where one of the major packers was actually importing feed from another country at this point. Don't know what that tells you other than the fact that maybe they're committed to continuing to try -- going to have -- trying to have quality feed for the cattle, don't know. But there's really just so many factors out there right now. 
Conrad Lyon: Yes, sure. Got you. Let me shift topics towards  things like manager at the door or just managing traffic better. How is that playing out? Is that -- have you seen gains or any aid from that? 
Scott Colosi: Well, Conrad, this is Scott. I think all of the key elements of what our operators focus on, I think, you see the results and that we've been able to continue to grow sales year after year. And we've got quite a big gap versus the competitive averages over time for many years. So cumulatively, it added up to a pretty substantial difference between our average volumes and those of most of our competitors. So when we look at it as a whole package, everything needs to come together as a team effort, front of the house and back of the house, so from the door to washing dishes, the whole bit [ph]. It's a whole package of our people, and that's the way we really look at it. 
Conrad Lyon: Got you. Okay. Fair enough. Just a housekeeping, Price. Remind me, what was the impact in July? I think you said 1% to 2%, is that right or...? 
G. Cooper: It's about 1.5% to 2% and that was from July 4th holiday moving from a Monday to a Wednesday that will benefit there. 
Conrad Lyon: Okay. So we're looking at, what, like 3.5%, 4% x the 4th, right? 
G. Cooper: That would be right. 
Operator: We'll go next to Larry Miller with RBC. 
Larry Miller: I just had a question. If food costs are up again next year in 2013, is there any -- anything you can do from a promotional standpoint or a mix shift standpoint? Is there anything you're considering that might help you alleviate some of that pressure? 
Scott Colosi: Larry, this is Scott. We've traditionally run the business in a very consistent manner. So we've got great value on -- everyday value on the menu. We've had a lot of success adding some of the larger steaks at the porterhouse and the Bone-in Ribeye, and we're going to stick to that same strategy of having a lot of value on the plate. We're not going to mess with the food, the portion size of the food. We're not going to mess our labor standards, and we're just going to continue to go execute at a very high level of consistency and quality. 
Larry Miller: Okay. I was even [ph] getting from maybe menu inserts as a direct people around the menu. 
Wayne Taylor: This is Kent. I would say on our menu test, we have tweaked the menu a little bit where things are positioned, and we're going to see how that changes our food [ph] mix. 
Larry Miller: Okay. Great. And then Scott, you mentioned some cost structure opportunities. First time I think I've heard you guys really talk about that. Is that significant? Can you give some sense on what you guys are maybe working on? 
Scott Colosi: I don't know if I would use the word significant, but it's a lot of little things. I don't want to give too much away at this point, but there are a number of smaller items that when we combine our purchasing power together for some of these items, we believe we can generate some nice savings for us. And none of these are guest-facing items. So we're pretty comfortable tweaking the way we purchase some of these items throughout our system. 
Operator: We'll go next to Keith Siegner with Crédit Suisse. 
Keith Siegner: Just a couple of questions. Scott, with CapEx spending on the existing store base going up a little bit, it sounds like some of this is for bump out. If you could just talk a little bit more about maybe where the money is going, what opportunities there might be, other things that you thought about in terms of that spending. Just some more color on where the increased CapEx is going. 
Scott Colosi: Well, I mean we've been, between Price and myself particularly, strongly encouraging the operators to spend money to maintain or improve the look of our restaurants, the functionality of our restaurants, whether that's replacing aged kitchen equipment, computer equipment, whether that's redoing landscaping, bathrooms, re-skinning the restaurants, fixing parking lots, building siding, whatever those things are. We want our folks to be pretty aggressive in making sure that we've got a very high standard in the way we keep the building to the way Kent designed the building originally. So typical restaurant systems, folks don't want to spend a lot of money generally on the assets as they age. And we've got a lot of restaurants in our system that are hitting sort of the 10-year mark, which is the mark that we believe our folks really need to be making sure that they fix everything that needs to be fixed and kind of reimage the restaurant if it needs to be reimaged to a way that's consistent with our look. 
Keith Siegner: So this kind of fulfills that need, and there's not some imminent larger scale remodel program coming? 
Scott Colosi: No, that's the idea. We don't want to let the guest form a different perception of our concept as tired or stale or something like that. And we budget for all the spending and all of the pro formas that we do for all of our new restaurants. We expect to spend the money, and we continue to voice to our operators the need to spend the money. 
Keith Siegner: All right. One more question. Actually, it's more of a housekeeping thing. So you reiterated the guidance for 25 company-operated unit openings this year. I think you said something about 8 more. Were there 2 already opened this quarter that I missed? How should we think about that 25 that you're... 
Scott Colosi: Yes, that's right. We had 2 open yesterday -- last week, a week ago Monday, 2 opened since the end of the quarter. So we're at 17 now. And so we've got approximately 8 more to open the rest of the year. 
Wayne Taylor: Yes, we've got another one that opens in 2 weeks. 
Keith Siegner: One more question for me then, just to really pound the beef cost issue. So people we've been talking to have been saying that the vendors are really reticent to sign contracts and that the premiums, like, that you have to pay to get a contact right now is as wide, if not wider, than ever. Does it seem like that's the case to you? And as you go into the end of the year and you think about contracting, does this increase maybe your willingness to kind of float on some of the beef? I know you've been doing something like 25% in '11 [ph]. But if the premiums really are high and stay high, will you float more into next year? 
Scott Colosi: Yes, this is Scott. That very well could be the case. It's something that our purchasing folks are going to consider. And like they have considered the last few years, when you have more volatility in the marketplace like we've had, everything you said is true. I mean, some of the packers, when you're sitting here in July and you're looking at a contract for January to December, they're going to charge quite a bit of a premium because they've got to cover the risk on their side. So as the months roll on, usually you come up with opportunities that you can lock in some product with hopefully less of a premium. And if you can't, then you do have to consider floating some product, and we've done variations of that the last few years. 
Operator: We'll take our next question from David Tarantino with Robert W. Baird. 
David Tarantino: Just a couple of questions related to topics you've already discussed. But I wanted to revisit the question about the traffic trend slowing a little bit and ask if there's anything that you're doing on the consumer research side or the consumer feedback side about your value proposition and whether you think anything has changed following the price increases that you've taken over the past 12 months. 
G. Cooper: David, this is Price. We haven't done any official research, if you will. We, of course, we look at some things. We talk about -- we look at our traffic trends. We look at what's going on with menu mix as well, see if people are starting to trade off. We're not seeing the trade down to cheaper items per se. And our traffic trends overall have bounced around a little bit, but I would say in general have been pretty consistent if you back out the impact or the positive impact of weather in January and February. They've been fairly -- in a fairly consistent range throughout the year. 
Scott Colosi: We've also -- typically, we've done a pretty big usage study every 3 years, and so that 3 years is coming up here later this year. So we'll probably work on something sometime in the fourth quarter, I would imagine, and that we would have a better idea of it early in -- early next year. Traditionally in those, we haven't seen much change at all in the consumers' perception of our concept, the value, our strengths and opportunities. 
David Tarantino: Okay. That's helpful. And then I guess maybe a follow-up to that, just wanted to ask how you're thinking kind of philosophically about the price increases as you enter next year. I know you have the test of the close to 2% going on. But as you think about the macro environment, if you were to see traffic kind of continue on this flattish to slightly positive level or even decelerate a little bit into slightly negative territory, would you think about the pricing more conservatively in that scenario? Or are you committed to taking some pricing to address the inflation? 
Scott Colosi: David, this is Scott. I mean, you know us very well. We're going to think hard, very hard about what we're going to do. And as always, Kent will be talking to all of our operators about what they're comfortable doing. It's very much a team effort on what we do or don't do and all of us together living with those decisions. So we'll definitely be talking as a team as the year goes on and balancing the amount of inflation we think we're going to have with the traffic and with the pricing. 
Operator: We'll go next to Chris O'Cull with KeyBanc. 
Christopher O'Cull: Scott, how many locations planned for next year have signed leases already? 
Scott Colosi: Let's see here. For next year, we've already got 8 stores that are already in permitting or been fully approved. Actually, one of them just started -- or is going to start construction next week. 
Wayne Taylor: We got -- and we have 4 on due diligence on top of that. 
Scott Colosi: Yes, and 4 due diligence on top of that, and so we're pretty far along... 
Wayne Taylor: Yes, we're negotiating the balance of those stores that we plan to open next year. I'm actually already looking at 2014 sites. 
Christopher O'Cull: Okay. Okay. Great. And then how did you guys decide on the amount on the price increase to test? 
Scott Colosi: This is Scott. I mean, historically, around that 2% level is what we've been comfortable as a management team, and our operators comfortable in taking in any given time on the menu. There are exceptions or have been exceptions in the past both to go higher. In some cases, we do minimum wage increases, some cases do not go as high depending upon what our commodity situation is, the competitive environment, the overall economic environment with the consumer. But that 2% level is a level that we've been comfortable believing that, that would enable us to still be very, very competitive in the marketplace. It's also what we see most of our competitors doing in that range. A lot of them will come out and state 2% to 3%. Some will say 1% to 2%, 2-ish percent. So we feel very comfortable that, that's a good place for us. 
Christopher O'Cull: Okay. And then lastly, Price, I don't know, were there any geographies that varied in terms of same-store sales performance during the quarter, either strongly outperformed or underperformed? 
G. Cooper: Not materially. I would say in general, the Northeast has been softer for us for several years, and it was the case. But all areas of the company were up and positive in sales. 
Operator: We'll go next to Peter Saleh with Telsey Advisory Group. 
Peter Saleh: I just wanted to ask about the new end openings for 2013. Should we be expecting them to be a little bit more balanced like they are this year with the almost 50-50? Or is it going to be a little bit more back end weighted? How should we look at the cadence for next year? 
Scott Colosi: This is Scott. We're getting pretty far along, so they could be pretty evenly weighted throughout the year like it is this year, potentially. 
Wayne Taylor: Yes, I would say you'll have more evenness between third and fourth quarter next year than you have this year. 
Peter Saleh: Okay. Great. And then just on the marketing side or advertising, anything different that you're doing this year or anything that you plan to do over the next couple of quarters that maybe just different from what you've done in the past? 
Scott Colosi: Not that we would be willing to say publicly. 
G. Cooper: For competitive reasons. 
Operator: We'll go next to Steve Anderson with Miller Tabak. 
Stephen Anderson: [Audio Gap] what was mentioned about 2013 expansion plans. Right now you're looking at 25 for this year. Do you mean to imply that you're looking at the same level of unit development for next year, or you think you can probably bump it up by a few extra units above that 25? 
Scott Colosi: Well, so far we've said at least 25 for next year, so you can count on us for 25 and probably in our next conference call in 3 months, we'll give you more guidance on maybe a narrower range of what that number might be above 25. 
Operator: We'll go next to Phillip Juhan with BMO Capital Markets. 
Phillip Juhan: Just wanted to ask about G&A. Price, you had mentioned the additional spend on the operator convention in 2Q '11, and so that benefitted you guys 30 or 40 basis points this year. x that benefit, G&A is roughly flat. Is that a good way to think about that in the back half of the year, sort of flat G&A on as a percent of sales? 
G. Cooper: Let's see in here. Hopefully, we could get flat or possibly a little bit of leverage in the back half of the year. Generally speaking, on a longer-term basis, we hope to grow G&A at some percentage of our revenue growth, and we look at it as if we can get low double digit-type revenue growth and then grow G&A, say, 70% -- 75% of that. That works well with our model. But specifically on the back half of this year, hopefully we'll get a little bit of leverage. 
Operator: At this time, we have no further questions in queue. I'll turn the call back to our speakers. 
G. Cooper: All right. Well, thank you, guys, for joining us this evening, and if you got any questions, feel free to call any of us back. Thanks, and have a good night. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation.